Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to the NexPoint Real Estate Finance Q2 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to Kristen Griffith, Investor Relations. Please go ahead.
Kristen Thomas: Thank you. Good day, everyone, and welcome to NexPoint Real Estate Finance conference call to review the company's results for the second quarter ended June 30, 2025. On the call today are Paul Richards, Executive Vice President and Chief Financial Officer; and Matt McGraner, Executive Vice President and Chief Investment Officer. As a reminder, this call is being webcast through the company's website at nref.nexpoint.com. Before we begin, I would like to remind everyone that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are based on management's current expectations, assumptions and beliefs. Listeners should not place undue reliance on any forward-looking statements and are encouraged to review the company's annual report on Form 10-K and the company's other filings with the SEC for a more complete discussion of risks and other factors that could affect the forward-looking statements. The statements made during this conference call speak only as of today's date, and except as required by law, NREF does not undertake any obligation to publicly update or revise any forward-looking statements. This conference call also includes an analysis of non-GAAP financial measures. For a more complete discussion of these non-GAAP financial measures, see the company's presentation that was filed earlier today. I would now like to turn the call over to Paul Richards. Please go ahead, Paul.
Paul Richards: Thank you, Kristen, and welcome, everyone, joining us this morning. I'm going to briefly discuss our quarterly results, move to our balance sheet and lastly, provide guidance for the next quarter before turning it over to Matt for detailed commentary on the portfolio and the macro lending environment. Q2 results are as follows. For the second quarter, we reported a net income of $0.54 per diluted share compared to net income of $0.40 per diluted share for the second quarter of 2024. The increase in net income for the quarter was due to an increase in interest income between the second quarter 2025 to the second quarter 2024. Interest income increased by $4.6 million to $22.8 million in the second quarter of 2025 from $18.2 million in the second quarter of 2024. The increase was driven by an uptick in interest income driven by increased income from investments. Interest expense decreased $700,000 in the second quarter of 2025 compared to the same period in the prior year from the deleveraging that occurred in the second quarter of '24. Earnings available for distribution was $0.43 per diluted common share in Q2 compared to $0.68 per diluted common share in the same period of 2024. Cash available for distribution was $0.46 per diluted common share in Q2 compared to $0.64 per diluted common share in the same period of 2024. The increase in earnings available for distribution was driven by the increase in net income for the quarter. We paid a regular dividend of $0.50 per share in the second quarter, and the Board has declared a dividend of $0.50 per share payable for the third quarter of '25. Our dividend in the second quarter was 0.92x covered by cash available for distribution. Book value per share increased 1% from Q1 '25 to $17.40 per diluted common share, with the increase primarily due to unrealized gain on the preferred stock investments. During the quarter, we funded $39.5 million on life science preferred, and we purchased $15.3 million CMBS IO with a bond equivalent yield of 7.24%. Moving to our balance sheet and portfolio. Our portfolio is comprised of 86 investments with a total outstanding balance of $1.1 billion. Our investments are allocated across the sector as follows: 49.5% multifamily, 32.7% life science, 15.5% single-family rental, 1.6% storage, 0.7% marina and 0.1% specialty manufacturing. Our fixed income portfolio is allocated across investments as follows: 28.3% CMBS BPs, 24.9% mezz loans, 18.7% preferred equity investments, 12.9% revolving credit facilities, 10.4% senior loans, 4.5% IO strips and 0.1% promissory notes. The assets collateralizing our investments are allocated geographically as follows: 27% Massachusetts, 15% Texas, 6% California, 6% Georgia, 4% Maryland, 4% Florida, with the remainder across states with less than 4% exposure, reflecting our heavy presence and preference for Sunbelt markets with the Massachusetts and California exposure heavily weighted towards life science. The collateral on our portfolio is 74% stabilized with a 58.5% loan-to-value and a weighted average DSCR of 1.44x. We have $815.6 million of debt outstanding with a weighted average cost of 5.9%. Our debt is collateralized by $865.4 million of collateral with a weighted average maturity of 3.8 years. Our debt-to-equity ratio is 1.14x. Moving to our guidance for the third quarter. We are guiding to earnings available for distribution and cash available for distribution as follows: earnings available for distribution of $0.42 per diluted common share at the midpoint with a range of $0.37 on the low end and $0.47 on the high end. Cash available for distribution of $0.50 per diluted common share at the midpoint with a range of $0.45 on the low end and $0.55 on the high end. Now I'd like to turn over to Matt for a detailed discussion of the portfolio and markets. Matt?
Matthew Ryan McGraner: Thank you, Paul. As he just mentioned, we're pleased to report another strong quarter amidst a challenging macro backdrop. I'd like to spend a few minutes here discussing our verticals and what we're seeing before I turn over to talk about our pipeline. On the residential front, supply pressures have eased somewhat but continue to present concentrated challenges in Sunbelt markets in particular. According to RealPage, 2Q 2025 marked the first quarterly drop of over 20 basis points in inventory growth in over 15 years, as new deliveries tapered after peaking in late 2024. Despite the slowdown, over 400,000 units were delivered in the trailing 12 months, sustaining elevated competition and lease-ups. The upshot here is that after one more quarter of significant deliveries in 3Q of 2025, the national delivery outlook contracts to a GFC level output of just 77,000 units per quarter, which supports our thesis on accelerating fundamentals in the multifamily sector in 2026, 2027, 2028. More positive news, demand outperformed expectations in the first half of the year. Net absorption surged and the national stabilized occupancy rate improved to 94.6% in July. New lease rates are still modestly negative in most of our markets, as operators continue to be defensive. However, we are very constructive on rental rates continuing to inflect higher, as the supply picture continues to improve. On the storage front, the REITs guided for flat to very low single-digit revenue growth and flat to negative 1.5% NOI growth in 2025. Q1 earnings were slightly better than expected, but guidance was maintained. Post Nareit commentary in June indicated rising occupancies and improving rates, still, the sluggish housing market continues to weigh on the self-storage demand. Home sales are at a multiyear low and mortgage rates remain elevated, softening the 2025 peak leasing season. Still, the REITs are pushing street and web rates, which could support Q2 results and have so far. REITs with exposure to major markets are outperforming on the occupancy front, i.e., Extra Space and Public Storage, SmartStop. These exceed their 2025 projected averages, while operators in secondary and tertiary markets continue to underperform. On the supply outlook, new development remains below equilibrium under 2.5% of existing supply and with limited bank financing, high land and construction costs and elevated interest rates, supply continues to be in check. This supply discipline should help restore pricing power as housing activity rebounds. Finally, on the life science front, lab leasing continues to be challenging, particularly given the tariff and NIH funding uncertainty under the new administration. With that said, we're pleased to report some great momentum at our Alewife project. We're closing in on a 245,000 square foot lease with an AI biologics company on a 15-year deal, producing a debt yield of just over 8% for this -- just the portion of this project. We expect the formal announcement to occur in the first half of Q3 and are very excited about this upcoming event. As Paul also mentioned, we were able to accretively dispose of [indiscernible] last week, creating even more liquidity to fuel our pipeline. Today, our active pipeline of originations stands at over $235 million and largely in the resi sector. We expect this incremental pipeline activity to create an increase in our CAD run rate in the high single digits. In closing, our underlying credit profile of the portfolio remains very strong at top the commercial mortgage REIT sector. Moreover, we continue to have some of the lowest leverage profile of any commercial mortgage REIT, which allows us a variety of capital options to pursue accretive growth. Indeed, we're excited about our growth in particular and cautiously optimistic about the overall market dynamics going into the second half of the year. As always, I want to thank the team for their hard work, and now I'd like to turn the call over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Jade Rahmani with KBW.
Jade Joseph Rahmani: Can you comment on credit trends within the Freddie Mac B-Piece portfolio? Both GSEs talked about a slight uptick in delinquency trends within their portfolio.
Paul Richards: Jade, this is Paul. Yes, our B-Piece portfolio is still overall very solid when compared to other CRE CLO in that '21, '22 vintage. Our B-piece is again straddled 2018 through a 2025 vintage. So we have some really good collateral, some really good deals that are both diversified fixed and floating. And I would say, yes, there's a few problem loans here and there. But overall, especially on the fixed side, it's been really sturdy and really good credit profile. But again, I would say on our floating rate vintages in that '21 pool -- yes, there are a few loans that we have our eye on, but nothing of complete concern as of right now. Matt, I don't know if you have anything to add it?
Matthew Ryan McGraner: Yes. I think given the amount of liquidity in the market for resi in particular, we're optimistic that some of the troubled assets just broadly across all K deals and even in our portfolio are going to be able to catch a bid here in the second half of the year, and the borrowers will be able to have liquidity options to -- available to them, whether it's more agency or the debt funds are getting more aggressive, in particular, on the multifamily sector. So with the liquidity profile, I think everyone is waiting out the kind of the first half of 2025, looking forward to 2026 and expect the overall delinquency picture to improve going into the back half of the year, even though we're still in a challenging supply environment.
Jade Joseph Rahmani: On the Life Science side, can you talk about pro forma for that lease that you mentioned? What the occupancy would be at that point? I mean...
Matthew Ryan McGraner: Yes. So it's about -- yes, of course. So it's 2/3 of the first phase of the project, which is what our loan is. So it will be, like I said, 2/3 leased post deal announcement.
Jade Joseph Rahmani: So once that happens, how much duration will there be remaining on this loan?
Paul Richards: Roughly -- on a fully extended basis, roughly 2.5 years.
Matthew Ryan McGraner: But importantly, we're already seeing and in talks with back leverage and A note lenders. And with the lease, we have a lot more financing options to us to probably be taken out before that.
Jade Joseph Rahmani: So this project seems quite different from -- or resistant to the pressures we're seeing in life science overall. Several of the mortgage REITs, for example, have downgraded to risk 5 life science loans and booked reserves this quarter.
Matthew Ryan McGraner: Yes. Well, the good news for us is that we started -- we made this loan in the midst of 2024 -- early 2024 and not in 2020 or 2021 or 2022. So that, coupled with the fact that the sponsor has $400 million of equity versus our $218 million mortgage and then plus we were able to land a lease so in a different spot than our peers, fortunately.
Jade Joseph Rahmani: I wanted to ask your thoughts on the seniors housing space. The thought is that COVID really outweighed the favorable demographic trends underpinning that sector because there were huge inflation in operating costs and a lot of delinquent tenants that remained in occupancy. The inflation rate has moderated and the delinquencies are being reversed. So the fundamental outlook for that sector is much improved. Do you agree with that? And are you interested in adding exposure to that? What are your thoughts generally?
Matthew Ryan McGraner: Yes, I 100% agree with that. And look no further than the outperformance of Welltower over the last couple of years. And then the proliferation, even, I think that they're doing in build-to-rent and specialized projects for an aging population. We're seeing a lot of capital in that space. We put to work on the build-to-rent side and highly amenitized senior housing projects are finding good capital and great cap rates. So I do think that, that is a good place to play. We looked at a couple of purpose-built senior build-to-rent deals, haven't hit on any thus far, but it is an attractive space, I agree with you, and one with some legs over the next -- over the course of this decade, I think. So yes, we're interested in it.
Jade Joseph Rahmani: I'll stay tuned for that. You all have been pretty nimble at identifying those kinds of opportunities. So I imagine it's something you'll look at.
Matthew Ryan McGraner: Yes, I agree, thanks Jade.
Operator: I will now turn the call back to the management for closing remarks.
Matthew Ryan McGraner: Thank you very much for everyone's time today, and we look forward to speaking to you after the third quarter. Goodbye.
Operator: Ladies and gentlemen, that concludes today's call. You may now disconnect. Thank you.